Operator: Good morning, and thank you for joining us for RPC’s First Quarter 2008 Earnings Conference Call. Today’s call will be hosted by Rick Hubbell, President and CEO, and Ben Palmer, CFO. Also present we have Jim Landers at the Corporate Finance and Investor Relations Departments. (Operator Instructions) I would like to advise everyone that this conference call is being recorded. Jim will begin by reading our forward-looking statement.
Jim Landers: Good morning and thank you, operator. Before we begin our call today, I want to remind you that in order to talk about our company we are going to mention a few things that are not historical facts. Some of these statements that will be made on this call could be forward-looking in nature and reflect a number of known and unknown risks. I would like to refer you to our press release issued this morning, along with our 2007 10-K and other public filings that outline those risks, all of which can be found on our website at www.rpc.net. I also need to inform you that in today's earnings release and conference call, we will be referring to EBITDA, which is a non-GAAP financial measure of operating performance. RPC uses EBITDA as a measure of operating performance because it allows us to compare performance consistently over various periods without regard to changes in our capital structure. We are also required to use EBITDA to report compliance with financial covenants under our revolving credit facility. Our press release today and our website show reconciliation of EBITDA to net income, the nearest non-GAAP financial measure. So I invite you to review that disclosure if you are interested in seeing how it's calculated. If you have not received our press release, please call us at (404) 321-2140 and we will fax or email one to you immediately. I will now turn our call over to our President and CEO, Rick Hubbell.
Richard A. Hubbell: All right, Jim. Thank you. This morning we issued our earnings press release for the first quarter ended March 31, 2008. In a few minutes Ben Palmer will discuss our financial results in more detail. At this time I would like to provide you with a few operational highlights. The first quarter proved to be a very challenging period for RPC. Sequential revenue increased 6%, however, increased competition and higher costs for labor and materials continued to negatively impact our financial results. As a result, we were unsuccessful this quarter in converting higher revenues into improved operating profits and cash flow. The increased competition is impacting us in several geographic markets and service lines. As most of you know, Pressure Pumping, our largest service line has experienced the most competition as the market slowly absorbed the additional capacity. This situation results in lower pricing, lower utilization, and a longer time period for our new equipment to be put into use. In addition, high pressure pumping activity levels are causing cost increases and shortages for our key raw materials. Today’s operating environment categorized by high activity levels coupled with tremendous competition and cost pressures has not been seen in this industry in a long time, if ever. With that overview I will turn it over it over to our CFO, Ben Palmer.
Ben M. Palmer: Thanks, Rick. For the quarter ended March 31, 2008, revenues increased 15.3% to $197.2 million primarily due to our capacity additions. EBITDA for the first quarter was $52.8 million, down 12.3% year-over-year. Operating profit for the quarter was $25.4 million compared to $44 million in the prior year. Net income was $14.8 million, or $0.15 diluted earnings per share compared to $28 million, or $0.29 diluted earnings per share last year. Costs and services rendered and goods sold for the first quarter was 59.7% of revenues compared to 51.2% in the prior year. This percentage of revenue increase was due to the negative effects of higher materials and supplies cost, fuel and transportation costs, and to a lesser extent, personnel costs. Unlike in prior periods of higher activity levels, our customers have generally been unwilling to share in these increases. Our selling, general, and administrative expenses during the quarter increased 9.6% from $25.8 million last year to $28.3 million this year due primarily to increased costs of new operational locations and higher activity levels. As a percentage of revenue, however, SG&A decreased from 15.1% last year to 14.4% this year. Depreciation and amortization increased significantly from $15.3 million last year to $27.3 million this year. This increase was due to the large amount of equipment placed in service during the last twelve months. I would also like to provide a few comments regarding our first quarter 2008 sequential financial results. Our consolidated revenues were up 6% despite a small sequential decline in the domestic rig count during the first quarter. On the whole, revenue increased due to additional capacity placed in service in the last six months, marginally offset by lower pricing and utilization. First quarter cost of services rendered and goods sold, as a percentage of revenues, increased 5.4%. Almost half of this increase was attributable to our materials and supplies expense, which rose approximately $7 million. While some of this increase can be attributed to higher activity levels, generally the increase in materials cost, combined with lower prices for our services, has negatively impact our margins. SG&A costs as a percentage of revenues decreased approximately 1% sequentially, again, to 14.4% as a result of leveraging these costs over our higher revenues. First quarter depreciation, which was 13.9% of revenues, increased 15.3% sequentially. Our EBITDA decreased 10.1 % from $58.7 million in the fourth quarter to $52.8 million in the first quarter. Our Technical Services segment revenues increased 7.5% to $169.2 million while operating profits decreased 29.2%. These revenue increases were primarily driven by growth in our Pressure Pumping business while the decline in operating profits was due to several of the negative factors discussed earlier, including lower pricing utilization, higher material costs, and additional labor costs. The increase in depreciation expense also negatively impacted Technical Services operating profits. Our Support Services segment revenue, which is comprised primarily of our Rental Tool business, decreased 2.8% to $28 million while operating profits decreased 8.3%. Activity levels remained strong in most of our regions although competitive pressures are having some impact on pricing. Operating profits decreased primarily due to increased appreciation expense related to new equipment placed in service. At the end of the first quarter our Pressure Pumping capacity was 274,000 hydraulic horse power. We have no plans to make any further pumping capacity commitments at this time. At the end of the first quarter our debt was $169 million under our credit facility and our ratio of long-term debt and total capitalization was approximately 29%. Our first quarter 2008 capital expenditures were $46 million and currently for the full year 2008 we expect to spend approximately $140 million. With that I’ll turn it back over to Rick.
Richard A. Hubbell: Ben, thank you. In summary, the current operating environment continues to be most challenging. Our employees are working as hard as ever and our activity levels remain high. Despite this, pressures on both revenue and cost have negatively impacted our financial results. As most of you know, RPC, like many of our competitors, greatly expanded our capabilities to meet customer needs. As a result, management’s focus has been split between executing our growth plan and operating our businesses. With the substantive completion of our expansion management has now refocused its attention exclusively to selling our company’s quality services. I would like to thank you for joining us this morning and at this time we are happy to take any questions you may have.
Operator: (Operator Instructions) Your first question comes from Jeff Tillery of Tudor Pickering Holt
Jeff Tillery – Tudor, Pickering, Holt & Co., LLC: Hi, good morning. I know in the past you’ve been a little bit hesitant to give specifics on utilization across the business lines, but could you talk qualitatively about what utilization did on a sequential basis and kind of the Pressure Pumping, Coil and Snubbing businesses?
Jim Landers: Jeff, it’s Jim. Utilization was fine in a lot of areas. You know, Snubbing might have been off a little bit. Some of the others were, you know, up a little bit to flat, I think.
Jeff Tillery - Tudor, Pickering, Holt & Co., LLC: Okay. And just to move on to the cost side—I just have a couple of questions regarding that. From the sound of things customers are not willing to absorb fuel costs and increased sand costs and whatnot. So my thinking would be you’re not expecting the cost situation to improve in the second quarter; is that fair?
Richard A. Hubbell: One thing that will improve, I think we were caught sort of in a situation where local supplies became unavailable rather suddenly so we had to go to some quite extreme measures to get sand and some other provenances and we believe we’ve addressed that as much as possible. So we do see some improvement in the second quarter but we do believe it will be somewhat of a challenge, but there were some highly significant and unusual significant costs that we did incur to be able to complete some of the jobs that we were committed to.
Jeff Tillery - Tudor, Pickering, Holt & Co., LLC: And it was primarily on the sand side?
Richard A. Hubbell: Yes.
Ben M. Palmer: Yes, that’s correct.
Jeff Tillery - Tudor, Pickering, Holt & Co., LLC: I guess I—the CapEx number—Ben gave $140 million. I thought the plan for [inaudible] was $100 million. Are my numbers mixed up? If there was a change, can you talk about that change, what drives that change?
Richard A. Hubbell: Yes. We did indicate to have $100 million but we kind of re-looked at things. It’s nothing in particular, just reassessing, you know, various things and taking some things and added a few things in some other areas. You know, maintenance CapEx may be a little bit higher than we thought but it’s nothing significant, really.
Jeff Tillery - Tudor, Pickering, Holt & Co., LLC: What areas would you expect to have organic units or kind of revenue capacity in 2008? I’m assuming it’s Coiled Tubing and Rental Tools. Any other areas?
Richard A. Hubbell: Organic growth in 2008?
Jeff Tillery - Tudor, Pickering, Holt & Co., LLC: Yes.
Richard A. Hubbell: Pressure Pumping, we have just a very little bit left to be delivered in 2008. More of it is going to be on the Coiled Tubing, nitrogen, and probably rental tool side. That’s correct.
Jeff Tillery - Tudor, Pickering, Holt & Co., LLC: And my last question. Any particular reasons stand out, from either a positive or a negative standpoint, in the first quarter? I’m talking about which regions are most competitive for you guys, which ones are you doing the best in?
Jim Landers: Jeff, this is Jim. We have really talked about that a lot internally. We want to be helpful and enjoy having these conversations, but for competitive reasons, in the current environment we would frankly rather not disclose where we’re doing well or where things are a little more competitive because, you know, it’s sort of a heads I win, tails you lose—we could loose either way—on telling where we’re doing better and where we’re doing less well. So, sorry, got to let that question go.
Jeff Tillery - Tudor, Pickering, Holt & Co., LLC: Okay. Thank you, that’s all I had.
Operator: Your next question comes from Mike Drickamer of Morgan Keegan.
Mike Drickamer - Morgan Keegan & Company, Inc.: Hey. Good morning, guys. Rick, Ben, do you guys have a plan for dealing with these higher costs? How are you going to be able to get your customers to start assuming some of these more costs, or you know, raise pricing to offset those costs?
Ben M. Palmer: Well, the plan, again Mike, we indicated, I guess, as it relates to raw materials, I think we’re looking and have found and continue to look for other sources, better prices, and less cost to be able to transport and store the provenance. That’s one thing we think will definitely help. As it relates to dealing with our customers, we’ve had some success. I think all we can do is ask our guys to press as much as they can without overly upsetting the customer. Again, we have had some success in some areas and we’re going to continue to try to do that. You know, it is a big market and we are a player; we think we gets lots of opportunity and we’re given as much, or more, opportunity as many people to be able to bid on jobs. At this time, again, as we’ve indicated over and over and I’m sure you’ve heard, it is competitive right now and the big players have been also helping to hold prices down and so, you know, if some of that frees up we think it will get better. So the question is, I guess, when does the dynamic change to where we have a little bit more control. We don’t know exactly when that’s going to be but all we can do is try, often, to pass some of those cost increases along and try to reduce discounts where we can to help out. That’s about all we can do.
Richard A. Hubbell: I think on the cost side we’re going to try and do a better job in purchasing a lot of those materials from a more centralized point of view and trying to extract maybe some discounts from our vendors. I don’t think we’ve done a very good job of that in the past. And on passing those costs off to our customers, there may be some jobs we’ll turn down, just because we don’t think they’re compensatory for what we’re having to spend. And we’re prepared to be here in the long run and if that means turning some business away, we’re prepared to do that.
Ben M. Palmer: And I think we’ve been able to grow our revenue in doing just that. I mean, we have not done anything and everything we’ve had to do to win every job. I can’t say in this environment that we’ve been highly, highly selective, but we certainly have lost some jobs because we weren’t willing to bid as low as some other players. And there are even some players out there that if we know they are bidding we decline even to participate. So we think in the face of all that, with growing revenues—and by growing our revenues we think that indicates we’re clearly having some success of putting our equipment to work.
Mike Drickamer - Morgan Keegan & Company, Inc.: Okay. So following up with that, with all the new equipment you’ve added to the market—you said you’re willing to turn down some work—qualitatively can you discuss what you think has happened with your market share? Have you increased your market share with the new equipment, has it stayed the same, or has it possibly gone down because you haven’t bid on some of the work?
Richard A. Hubbell: Well, I think with increasing revenue compared to some of the others in the industry not having growth, I would say that would be an indicator that we’ve increased our share.
Mike Drickamer - Morgan Keegan & Company, Inc.: Are you willing to give up some of that for pricing?
Ben M. Palmer: Yes.
Richard A. Hubbell: Yes. If it’s all based on circumstance, yes we are.
Mike Drickamer - Morgan Keegan & Company, Inc.: Okay. And can you kind of discuss how the quarter progressed, if you will—did all these cost pressures come in the first of January or did they, you know, increase going through the quarter?
Ben M. Palmer: I think they increased during the quarter and were the worst in March.
Mike Drickamer - Morgan Keegan & Company, Inc.: Okay. So that’s, you know, by that progression bodes worse for the second quarter then.
Ben M. Palmer: Well, but I think—again, the sourcing issues we addressed during the quarter so that should provide some benefit to us, for the second quarter.
Mike Drickamer - Morgan Keegan & Company, Inc.: Okay. Well, I mean you talked about, you know, the problems you had getting sand during the quarter—what month did that occur in?
Ben M. Palmer: Well, it’s an ongoing problem but we have secured some sources which will make it not quite as disruptive and expensive as it was.
Richard A. Hubbell: It doesn’t seem as bad going forward as it was in the first quarter.
Ben M. Palmer: Right. But clearly, again, there will continue difficulties; we’ll have to work very hard to source the sand and we’ll have to work very hard to try to get it at the best cost possible.
Richard A. Hubbell: In the winter months it’s always harder to get sand because of freezes and things like that and going forward into the spring we won’t have that problem.
Mike Drickamer - Morgan Keegan & Company, Inc.: Okay. Let me ask one more and I’ll turn it over to somebody else. Can you talk about your thoughts behind the share repurchase you announced during the first quarter here? You’ve already got a significant shareholder, so liquidity is an issue and then you, you know, buying in more shares, what are your thoughts behind that and should we expect more repurchases?
Ben M. Palmer: We look at it, again, as a balancing act against share repurchases, dividends, and investment back in our business. So, we did buy some during the first quarter. We try to be pretty selective. At this point we’re not, just because—the debt that we have and things like that, we’re not looking to get super aggressive but we would like to be there when we think—we like to pick our spot. And we watch that every day.
Mike Drickamer - Morgan Keegan & Company, Inc.: Okay. Thanks a lot, guys.
Operator: Your next question comes from Bob Mackenzie of FBR Capital Markets.
Robert Mackenzie - FBR Capital Markets: Guys. I wanted to touch on something that really hasn’t been asked much about yet, at least on this call, and that’s the competitive dynamic that’s starting to evolve in the Coiled Tubing market, where you guys have substantial leverage. Both yourselves and others are adding substantial capacity to the U.S. market this year. Our study seems to imply about 33% growth in Coiled Tubing capacity. What are you seeing develop right now on the pricing and even potential utilization front in response to some of that capacity starting to hit the market?
Jim Landers: Rob, this is Jim. It’s not a big issue for us right now. I mean, Pressure Pumping is what we think about and focus on more regarding pricing and cost pressures. Some of the Coiled Tubing that we’ve gotten recently is the figure diameter Coiled Tubing and it has some applications which are good for us. And I know—you obviously know these answers with your background—there are a lot of applications for Coiled Tubing in unconventional plays, which we’re using. Some of the laterals are getting so long that you actually can’t use Coiled Tubing for that so you’re going to Snubbing units and some other things. But, you know, there may be an issue coming but it has not had a huge impact on us yet.
Robert Mackenzie - FBR Capital Markets: Okay. Well, asked a different way, do you guys believe there’s an issue coming and if so, how are you planning your competitive position to mitigate the impact on your bottom line?
Richard A. Hubbell: Well, there certainly is a lot of competition and we hear stories every day about more people adding and moving in, but I think our adds have been more, as Jim said, more to better capacity of equipment. So, rather than adding, we’re probably replacing units with better capacity rather than adding. So we’ll just address it with a better capacity unit.
Ben M. Palmer: And I think we’re attempting to—we think there are opportunities to work better with some of our customers on some of these unconventional plays Jim mentioned, with larger units coupling that with Pressure Pumping and some of our other services lines. We think that makes our suite of services very attractive so we’re trying to capital on that differentiation, as well.
Robert Mackenzie - FBR Capital Markets: Okay. Shifting gears a little bit, you know you mentioned in your comments that Pressure Pumping utilization was negatively impacted during the quarter. I want to try and get a better understanding, specifically for you guys, was that driven by lack of availability of sand, was that driven by people or was that just driven by demand and/or more aggressive competition with limited demand?
Ben M. Palmer: Rob, this is Ben. I think it’s a combination of everything. I mean, we had new classes coming on line and obviously it takes a little bit of time to get that staffed and get new customers and jobs lined up for that. Clearly, competition. All things being equal, competition has held utilization down a bit. But again, activity levels over all remain very, very high. And again, we have not aggressively bid to win every single and all opportunities that we have been presented. So, that’s part of it. And then competition number of units, competition people willing to work at very low prices in some instances, customers willing to work with those companies that may lack some capabilities. Many of them are very capable but some of them maybe don’t have the same capabilities we do. So all those things together. It’s very difficult to tell exactly how each of those specifically impact the utilization but in this environment it’s all these.
Robert Mackenzie - FBR Capital Markets: Was availability of sand an impact on market share?
Ben M. Palmer: I don’t believe we lost any jobs because of availability of sand, per se; we just had to work very hard to get it and it was expensive to source it to perform the jobs that we had won.
Robert Mackenzie - FBR Capital Markets: Okay. On that front, you mentioned you’ve improved your supply situation somewhat; can you give us a feel for what percentage of your sand you have locked up or under firm delivery commitments for the second quarter and the year?
Jim Landers: This is Jim. We don’t really have a good number for that. We’re just working on the supply situation and it’s been better; I think we’ve made some inroads. But don’t have a firm percentage we can give you.
Robert Mackenzie - FBR Capital Markets: Fair enough. I’m just trying to get—because this is a problem that everybody in the industry has, particularly the smaller players. And with a lot of the larger players locking up the capacity, not a lot of new sand supply out there. At least near term, is my understanding. I’m just trying to understand; you’ve fixed some of the problem somewhat but I’m trying to get some comfort with that and if I put some statistics behind that, that gives me some comfort that maybe that’s happened. But right now I’m not there; I wonder if you can help me get there.
Ben M. Palmer: I think part of our addressing of the problem is there have been new mines or people who have been willing to expand their operations to meet the demand. Now, they’re further away; some suppliers are further away so again, the freight costs are higher. So that’s part of the issues. So again, I think with the price that the materials are currently demanding, I think the supply issue will be—we think that’s being addressed. But it’s going to be the cost side and getting it sourced and delivered more efficiently is going to be something that, again, we can address in the second quarter. And longer term we’ll be trying to find more steady supplies at the best price possible.
Richard A. Hubbell: And also the distribution. We’re using rail more and using rail cars rather than trucking it in. So that will certainly help on the cost.
Robert Mackenzie - FBR Capital Markets: Okay. Separately, Jim, I guess going back to an earlier question, maybe asked differently, in a different way. Can you give us some comment on where you see your competitors in terms of their actions being the most aggressive in pricing, regionally?
Jim Landers: Compare regionally?
Robert Mackenzie - FBR Capital Markets: What you’re competitors are doing, not what you’re doing.
Jim Landers: Rob, sorry. Speaking for myself, I’d just rather not kind of give that away right now. You know, it’s sort of the usual suspects. Sorry, I’d rather not answer that. Unless someone here wants to . . .
Ben M. Palmer: I agree. It’s a very reasonable question but we made the decision not to try to comment on that.
Robert Mackenzie - FBR Capital Markets: Okay. Well, I tried to phrase it in a way that you might, but . . . And finally, how does April look so far in terms of utilization and pricing in Pumping for the first quarter? Higher, flat, lower?
Jim Landers: It seems to be pretty good. We don’t really, on an interim basis, have a good handle on what pricing might be at that point. We just had regional conference calls with all of our field personnel; nothing really stood out that said that April was worse.
Ben M. Palmer: That’s right. I think whatever the trends are continuing, which is that in the first quarter our results—of course, you know, when it comes to pricing and discounts there’s job mix and all those things that factor into that. Discounts—increase in discounts, in and of itself, was not a huge negative driver to our results. As much as some of these other things we talked about. And as Jim said, I just think it’s sort of more of the same. I think that still it’s very competitive, there have been contracts that we’ve not won because of pricing, but we’ve not necessarily seen a huge turn one way or the other.
Robert Mackenzie - FBR Capital Markets: Okay. Great. Thanks, guys. I’ll turn it back.
Operator: Your next question comes from Tom Escott of Pritchard Capital.
Tom Escott - Pritchard Capital Partners LLC: Good morning, fellows. A lot of the detail things have been covered already, so let me ask a question, looking at this from 30,000 feet. I’m trying to contrast the December period versus the March period. Here in December you had blown up the December quarter at $0.15. Everybody was looking for a really horrible December and you post a $0.21 a share—huge improvement—sequentially over September. And then again, now, in the March quarter results down very sharply from the December period. Can you point to the 1-2-3 factors that—how was the December period such a huge improvement and then March period so much worse? You talked about the March being worse, I guess, sand costs, etc., but what everybody on this call is struggling with is trying to find some level of confidence about the direction that the business is going and trends and profitability overall. And with December up so sharply and March down so sharply I, for one, am kind of struggling to find that confidence in the direction.
Ben M. Palmer: Thanks, Tom. It depends on what you’re focused on. Operating profit is clearly being impacted by depreciation increases. Cash flow, therefore, is not down as sharply as operating profit. I think our revenues are up—you know, if you compare first quarter to third quarter—they’re up over 20% and I think EBITDA is better by 15%. Certainly that makes it easy to go back and pick the worst quarter we posted recently to make those comparisons, but I think overall you can characterize the last several quarters for us is taking delivery of a lot of equipment that we’re trying to put to work, and clearly what our recent revenue increases show that we are putting it to work. I think we’re competing well and competing hard but it is a tough environment. I think it’s important to also note that we’re coming off of—certainly we wish we could be back in 2006 again, but clearly the environment is much more difficult today than it was back then but we’re still generating lots of cash. The cash flows are down, our investment is up—clearly the returns on investment are not what they were back then but we love the fundamentals of the industry, we love—you know, higher oil and natural gas prices, our customers seem to be busy and staying very busy and we’re going to be there. We’re going to keep doing the basic things that we do and have done over the years and we think it will continue to get better. We’ll continue to fix some of the issues we have, we’ll put this new capacity to work, continue to make inroads as we have. So we see us making continued improvement and hopefully some of the industry fundamentals will turn our way as a provider of services.
Richard A. Hubbell: And we have excellent people and as far as going forward, we’re very pleased with those people we have. We have, in all of our service lines a newer fleet so we’re committed for the future and we think it’s going to work out fine.
Tom Escott - Pritchard Capital Partners LLC: You mentioned you’re not going to be adding any more capacity at this point. You’ve kind of done what you’re going to do. But that begs the question—you still have a lot of excess capacity—do you have any opportunity or any desire to try to lay off some of this new capacity to other people that may want to take that overseas or into other markets where there is stronger demand?
Ben M. Palmer: Tom, this is Ben. That’s certainly an opportunity. I think we feel like our people in our organization can find work for that. We do have an international presence. When you compare fourth quarter to first quarter, there’s always—you know, we have a diversified business, both in our service lines and geographically so you get into all the ups and downs and everything else but it is true, Jim referred earlier in the call to some of the weakness we had in Snubbing. Snubbing had a good fourth quarter, it was a little bit weak this quarter; we see it getting better, especially internationally there were some things going on. I think several other people have talked about some international weakness. I don’t know if there is a direct correlation there or not or if the reason is a direct correlation, but we see some of that improving. So, we’re going to get there. Like I said, we’ve got a lot of good things going on and our people are working hard at it and we’re confident.
Tom Escott - Pritchard Capital Partners LLC: Okay, thank you.
Operator: Your next question comes from Bill Dezellem of Titan Capital Management
Bill Dezellem - Titan Capital Management: Are we hearing correctly from you all that the cost pressures that you’re experiencing are a bigger deal and more influential than the price pressures?
Richard A. Hubbell: In the first quarter that is correct.
Bill Dezellem - Titan Capital Management: Okay. That is helpful. And then secondarily, given that the smaller competitors are theoretically experiencing the same issues, would you please compare and contrast what you are seeing and experiencing from a competitive stand point in terms of reactions to these cost issues. One bucket being the small competitors, the other bucket being the majors.
Jim Landers: Bill, this is Jim. A lot of the small competitors are not public so we don’t know and some of our other similarly-sized peers have not reported yet. I think what we have, both anecdotally through the field and through other public announcements is that a lot of people are experiencing the same things we are. You know, the cost of sand is up, there are personnel shortages, things of that nature. Everyone is having conversations with customers regarding cost increases. We haven’t talked about fuel a whole lot, but it’s kind of a double-edged sword. We like high prices for hydrocarbons but it impacts our operating costs a lot. I kind of feel like people are all doing the same thing, again, with mixed success. We have had some successes talking to our customers about sharing cost increases, but on the whole we haven’t and I think the rest of the industry is similar.
Bill Dezellem - Titan Capital Management: And are you sensing just in terms of what you’re anecdotally hearing and seeing in the field that the majors, the Big Three, are doing the same things or are they still letting the current situation play out?
Jim Landers: Probably letting it play out. They may have some economy of scale advantages, which might allow them to buy things a little more cheaply than we do in general. But then we have some advantages over folks who are smaller than us. So I think it’s a mixed bag but I think everybody would say the same thing we’re saying, to varying degrees.
Bill Dezellem - Titan Capital Management: And qualitatively, where would you say, relative to your equipment—new equipment that you placed into service—what inning are we in in that process to where you’ve got all the new equipment working?
Jim Landers: Bottom of the seventh, top of the eighth.
Bill Dezellem - Titan Capital Management: Great. Thank you.
Operator: (Operator Instructions) Your next question comes from Mike Drickamer of Morgan Keegan.
Mike Drickamer - Morgan Keegan & Company, Inc.: Guys, a couple of quick follow ups. Can you guys quantify, perhaps what the cost increase was in materials, perhaps as far as profit is concerned, first quarter over first quarter?
Richard A. Hubbell: It was up $7 million during the quarter.
Mike Drickamer - Morgan Keegan & Company, Inc.: Material costs was up $7 million during the quarter?
Ben M. Palmer: Yes. And as we said in my comments, some of that is certainly attributable to increased activity levels but a good piece of it, too, is due to cost increase.
Mike Drickamer - Morgan Keegan & Company, Inc.: Okay. And do you look at that as a portion of everything mentioned here: materials, labor, fuel. I mean, was that the most significant piece or less than half?
Jim Landers: Mike, this is Jim. Just to clarify, when Ben talked about materials and supplies, that does not include fuel. That was up another almost $2 million.
Ben M. Palmer: But, yes, your comment—those reasons do account for the vast majority of the increase.
Mike Drickamer - Morgan Keegan & Company, Inc.: Okay. So materials were up $7 million, fuel was up another $2 million, and labor on top of that.
Ben M. Palmer: Right.
Mike Drickamer - Morgan Keegan & Company, Inc.: Can you hazard a guess as to how much you’re going to be able to save in the second quarter with the steps you’ve taken as far as securing the additional profit?
Jim Landers: Mike, it’s just too hard to quantify. Afraid not. Sorry.
Mike Drickamer - Morgan Keegan & Company, Inc.: Okay. Thanks a lot, guys.
Operator: Your next questions comes from Jeff Tillery of Tudor, Pickering, & Holt.
Jeff Tillery – Tudor, Pickering, Holt & Co., LLC: All of my questions have been answered. Thanks, guys.
Operator: There are no further questions.
Richard A. Hubbell: Okay, well we appreciate everybody calling in this morning. We do appreciate it, and have a good day.
Ben M. Palmer: Thank you.
Operator: Thank you. This concludes today’s RPC First Quarter 2008 Earnings Conference Call. You may now disconnect.